Operator: Good morning, and welcome to the MSA Safety Second Quarter 2019 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Elyse Lorenzato, Director Investor Relations. Please go ahead.
Elyse Lorenzato: Thank you, Drew. Good morning, everyone, and welcome to MSA’s second quarter 2019 earnings conference call. With me here today are Nish Vartanian, President and CEO; and Ken Krause, Senior Vice President, CFO and Treasurer. Before we begin, I’d like to remind everyone that the matters discussed on this call, excluding historical information, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include, but are not limited to, all projections and anticipated levels of future performance. Forward-looking statements involve risks, uncertainties and other factors that may cause our actual results to differ materially from those discussed here. These risks, uncertainties and other factors are detailed in our filings with the SEC, including our most recent Form 10-K filed in February 2019. MSA undertakes no duty to publicly update any forward-looking statements made on this call except as required by law. We’ve included certain non-GAAP financial measures as part of our discussion this morning, and the non-GAAP reconciliations as well as our Q2 press release are available on our Investor Relations website at investors.msasafety.com. I would also like to mention that we are scheduled to host an Investor Day in New York City on November 11. At that session, we will provide more insight into the growth platforms and programs that are designed to drive continued strong performance for our shareholders, customers and employees. We hope to see many of you there, and of course, that event will be webcasted. With that, I will turn the call over to our President and CEO, Nish Vartanian.
Nish Vartanian: Thanks, Elyse, and good morning, everyone. The MSA team achieved solid results in this quarter on both execution of our growth programs and our efforts to provide breakthrough solutions to advance our mission of protecting lives and dangerous work environments. Our second quarter reflected mid-single-digit revenue growth and double-digit earnings growth. We saw increases in nearly all core product groups as our new products continue to provide momentum, most notably in gas detection and fall protection. In late May, we completed the acquisition of California-based Sierra Monitor. We welcome the team to MSA, and I’m glad to say our integration plans are on track. As a result, our numbers for the quarter include just over a month of Sierra Monitor results. Ken will parse out that impact in his review. I want to take a few minutes to provide some additional texture on the product development areas that are helping drive our results as well as highlight two exciting launches we have planned for later this year. I’ll then hand it off to Ken, who’ll provide more drivers of our quarterly results. Our sales vitality, the percentage of sales from products developed over the last five years, was over 35% in the quarter. Two product areas showing the greatest improvement when compared to a year ago, our gas detection and fall protection. Those products also reflected our fastest-growing product lines in the quarter, with fixed gas and flame detection growing 13% and fall protection accelerating to 25% growth. In 2018, we discussed the robust nature of our new product development pipeline in fall protection, highlighted by the launch of 15 new products, which included our V-Series brand of fall protection products. These new products are all helping to convert competitive accounts, resulting in nice incremental business and 24% growth in the first half of 2019. On the gas detection side, our new X5000 and S5000 gas monitors are gaining traction in key markets. As we’ve noted before, we believe these two devices have potential to be real game changers, largely because their XCell sensors with TruCal technology extend calibration intervals by checking themselves in self-correcting for environmental factors several times daily. This provides two key value propositions for our customers, uptime peace of mind and lower total cost of ownership. Building on that cost of ownership advantage and other innovation we’ll be launching in the coming months is called Diffusion Supervision. This is an industry first. To understand the benefit, it’s helpful to know that customers calibrate their instruments to ensure accuracy and to verify that sensors are not blocked by an external substance, such as sand, paint or voice. If the sensor is completely covered or to the point where gas cannot reach it, a leak might not be detected. While I’m proud to say that our team solved this problem with a patented acoustic solution, which actually alerts users when the monitor is not capable of doing its job due to a blockage. Looking at further innovations, we’re also excited about our upcoming launch of the ALTAIR io360. This is a first of its kind detection area monitoring instrument that is intuitive to use. With the ALTAIR io360, customers can create connected work sites with multiple devices that scale to meet their needs. They can then remotely capture their site data and manage and monitor conditions through our safety io grid, better yet. While most area monitors have run times measured in days or hours, the ALTAIR io360 provides months of run time. We look forward to bringing that product to market later this year. We have a short video on our website detailing the key product features of the A 360. You can access that from our MSA homepage under the What’s New section. Switching gears to fire service new product development. It’s exciting to see the M1 SCBA gaining traction and winning departments that have historically used competitive SCBA. The most recent being Hamburg, Germany. In the Americas, we’re preparing to launch the 2018 NFPA compliant G1 SCBA. As many of you know, the NFPA breathing apparatus standard is revised every five years. The anticipated effective date for the 2018 standard will be sometime in the second half of August, and we’re confident in our ability to get the necessary to approve – get through the necessary approval process. I should also mention, we anticipate assistance to Firefighter grant funding to be released sometime in the third quarter. The timing of when we get our NIOSH approval letter and when AFG funds are released, could have some impact on our third quarter SCBA volumes, particularly if either are delayed. But that would only be a timing issue as our pipeline for G1 SCBA remains strong. Regardless of timing, with 25% growth in SCBA last year in the third quarter, we’ll certainly face a more difficult comp in that area. Nevertheless, we’re confident in the ongoing nature of the U.S. replacement cycle and the fact that the M1 SCBA is really starting to hit its stride in international. Bringing the discussion back up to the consolidated portfolio level. If you recall, only about four years ago, MSA’s operating margin was under 13%, and our EBITDA was tracking around $180 million. Since that time, we’ve streamlined our cost structure, invested in accretive acquisitions, fueled our NPD pipeline to strengthen our market positions and created a high-performance culture. Through those investments and changes, we’ve brought on approximately $100 million of EBITDA and generated 100% cash flow conversion over the past three years. We’ve had success transforming our business over the past several years, and MSA remains well positioned to create additional value in years to come. With that, I’ll turn the call over to Ken for financial review. Ken?
Ken Krause: Thanks, Nish, and good morning, everyone. Before I begin the P&L review and discuss the quarter in more detail, I’d like to start with a few highlights of our performance. Revenue growth was 3% on a reported basis or 5% in constant currency. It is encouraging to see growth in substantially all of our core product groups and total revenue growth in the mid-single-digit range. We leveraged that mid-single-digit revenue growth in the 15% adjusted earnings growth, as our strong incremental margins continue to provide good support in the quarter. Adjusted operating margin of 18.4% increased to 130 basis points from this time a year ago. And it’s important to note that, that comparison includes 30 basis points of dilution related to the Sierra Monitor acquisition, primarily related to non-stock compensate – stock compensation charges and purchase accounting amortization associated with the transaction. Free cash flow conversion improved from the first quarter of the year, and we continue to execute a balanced capital allocation strategy, focused on growing our business and returning value to shareholders. We deployed $33 million for the Sierra Monitor acquisition, $16 million for dividend payments, an 11% increase from a year ago on a per share basis and $3 million for share repurchases to offset the dilution from shares issued in connection with the acquisition. Now I’d like to walk you through our second quarter financial results. Total revenue increased 5% in the quarter in constant currency. We had a 2% foreign currency headwind on revenue in the quarter or about $7 million to $8 million, largely related to the weaker euro, Chinese RMB and LatAm currencies compared to this time last year. On a sequential quarter basis compared to the first quarter of 2019, the FX headwind was just under 1% or $2 million. We continue to see solid results across our business with core product growth of 7%. On the first quarter call, we mentioned a strong backlog in Middle East gas detection. With that pipeline, we were able to realize quarterly FGFD invoicing growth of more than 20% in that region. Gas detection growth was strong across the board in both portable gas detection and FGFD in the Americas and international segments as our new products continue to be well accepted by the market. New products drove our business and core industrial, personal protective equipment as well. Fall protection growth of 25% was driven by the continued success of our new product development efforts, specifically around the V-Series products Nish mentioned in his prepared remarks. Noncore products declined by 6% in the quarter, which represents a 2% headwind to overall sales growth in the quarter. The driver of the headwind was our international segment, notably Europe, on lower sales of ballistic helmets. Gross profit was 46.1% in the quarter, up 80 basis points from last year. The strong results are reflective of the new product launches and pricing actions we’ve taken globally. SG&A expense was $84 million in the quarter or 24% of sales, which includes $2 million of onetime costs related to the Sierra acquisition and $1 million of cost for Sierra’s base business. Excluding Sierra and all related cost, organic constant currency, SG&A increased 1% on the 5% increase in revenue. The team continues to execute prudent cost controls. We also continue to focus on executing restructuring activities to streamline our business. If you recall, we recorded $6 million of restructuring expense in the first quarter associated with footprint rationalization activities in our international segment with those programs expected to be executed in the balance of the year. We made good progress on executing the planned activities in the second quarter, completing the closure of our MSA locations in South Africa and progressing on the rationalization of several of our Eastern European locations. More than $2 million of the $3.5 million of restructuring spend in the second quarter is a noncash charge, associated with the closure of a pension plan in the United Kingdom. We are on track with our international restructuring initiatives and seeing good control over cost in the quarter, particularly in Europe, where SG&A is down 2% for the year-to-date on revenue that is up 2%. In the quarter, SG&A was down 4% in Europe. We are making good progress in reducing our cost structure in Europe. GAAP operating income was $54 million or 15.6% of sales in the quarter. Excluding foreign currency, restructuring, strategic transaction costs and product liability expense, adjusted operating margin was 18.4%, up 130 basis points from a year ago on incrementals that remain strong and are exceeding 40% year-to-date. As I mentioned earlier, the first six-or-so weeks of ownership of Sierra provided about 30 basis points of headwind to margins. So organic margins in our business were up over 150 basis points. Our GAAP effective tax rate was 25% for the quarter. And on an adjusted basis, which neutralizes for the impact of certain noncash items, our quarterly effective tax rate was 24% compared to 25% a year ago. GAAP net income was $40 million. Quarterly adjusted earnings were $48 million or $1.22 per share, up 15% from a year ago on the 5% constant currency revenue increase. Free cash flow was $28 million in the quarter, which includes about $11 million of net outflows for product liability. We used cash for inventory in the quarter to support our revenue growth, and our receivables were up based on the timing of shipment activity in the second quarter. We continue to target 100% free cash flow conversion for the full year. Debt-to-EBITDA is 1.4x at the end of the quarter, consistent with the first quarter despite deploying $33 million for the Sierra acquisition, increasing our dividend by 11% and repurchasing 35,000 shares at an average price of about $100 to mitigate the dilution associated with the acquisition and stock compensation. Our balance sheet is strong and provides us with the flexibility to continue investing in our business and pursuing acquisitions. As Nish indicated, we are pleased to welcome the Sierra Monitor team to the MSA family, and it was exciting to be in California for the transaction closing in late May. The acquisition reflects a step forward in our goal to enhance worker safety through the use of connectivity and cloud technology. The transaction was dilutive to adjusted EPS by $0.01, which reflects the impact of purchase accounting and other noncash compensation charges associated with the transaction. Sierra’s underlying business was actually accretive by $0.01, while the financial impact is not overly meaningful for MSA size, the strategic benefits of leveraging Sierra’s Internet of Things solutions as one has us really excited about bringing this asset into the MSA portfolio, and we remain well positioned to continue to make additional strategic investments to grow our business. The quarter reflects another good quarter of execution by the team. It was good to see the double-digit earnings growth and over a 150 basis points of margin expansion in our organic business on mid-single-digit revenue growth in the quarter. Incremental margins are strong and backlog levels are healthy, and we continue to expect mid-single-digit constant currency revenue growth for the full year of 2019. We remain confident in our ability to continue to deliver on our key metrics for revenue growth, incremental margins, earnings growth and cash flow that we have discussed with you in past calls. With that, I’ll turn the call back over to Nish for some concluding commentary. Nish?
Nish Vartanian: Thanks, Ken. As we think about the outlook, it’s clear, the industrial sentiment has become more cautious, but indicators point to growth. While the environment has been choppy throughout the year, we’re able to grow short-term business cycles, like fall protection by 25% and portable gas detection by 5% in the quarter. Our longer-cycle business, which is fixed gas and flame detection is seeing strong order pace. MSA remains well positioned to continue driving toward our mid-single-digit growth and margin expansion goals in 2019 and beyond. Thank you for your attention this morning. At this time, Ken and I will be glad to take any questions you may have. Please remember, MSA does not give guidance. Having said that, we’ll now open up the call for your questions.
Operator: We’ll now begin the question-and-answer session. [Operator Instructions] The first question comes from Stanley Elliott of Stifel. Please go ahead.
Stanley Elliott: Hey, good morning, everybody. Thank you for taking the question. Can you talk about the mid-single-digit growth. We’ve seen the PMIs, particularly in Europe, be a little bit weaker, and it was nice to see some growth there. Is this kind of market outgrowth? Or is – are these safety products more resilient than just a typical PMI sort of movement? Just curious to hear your thoughts around that?
Nish Vartanian: Good morning, Stanley, how are you? What we’re seeing, Stanley, is that we believe we’re outstripping the market in some areas. Clearly, with fall protection, we’re doing quite well with growth in the mid-20s. We believe we’re taking market share and hitting stride with some of the new products we’ve developed over the last couple of years, some good strong marketing and sales and marketing programs, buying, some distribution. Along with that, we’ve invested about $3 million in CapEx in Mexico and Devizes, England to expand the capacity on the front end of that. And it’s really nice to see that business come through. So we believe we’re gaining some nice share there. And of course, fixed gas and flame detection, that 13% growth in the second quarter, 8% year-to-date. And that’s probably outpacing the market. We’ve got some great new products that we brought to market in that space. The market is healthy, and we continue to perform well. Portable gas detection, we got off to a slow start to the year, but we had 5% growth in the second quarter, and the bookings look really good as we go forward. So we think we’re outperforming the market a bit and executing well. And the end-markets remain pretty healthy for us overall.
Stanley Elliott: Perfect. And then thinking about the back part of the year, you guys have done a nice job of getting price and value pricing for the products that you have. Are there any things on the – to be concerned about in terms of incremental input costs or anything on the cost headwind side? And then kind of the last part of the question would be, with the mix of the business, you all have talked about leveraging earnings growth, 1.5 to 3 times. My guess is we’re at towards the higher end of that range. I would just love to hear comments around all of that, if you could, please?
Nish Vartanian: No, we continue to monitor that very closely, Stanley. We watch the supply chain and the pricing on the supply chain. And then on the flip side, we’re really staying after our pricing side. We’ve done a nice job with managing our pricing and executing on the price increase, specifically in the Americas, a really nice job with the midyear price increase in 2018 and then a price increase again here, January 2019, more work to be done in international and Europe specifically, which we’re taking action there to make sure that those increases take hold. So we have some more work to do in that area. But we’re pretty confident that we’re going to be able to maintain our margin levels going forward with the business.
Stanley Elliott: Perfect guys. Thank you very much, congratulations.
Operator: The next question comes from Edward Marshall of Sidoti & Company. Please go ahead.
Edward Marshall: Hey, guys, good morning. So Ken, I might have missed it, but did you give the content from Sierra Monitor in the quarter that you have any contribution?
Ken Krause: Yes. I – the revenue contribution was less than 1% growth. So we did under $3 million of revenue associated with the acquisition. And from an earnings perspective, we saw a dilution on the GAAP line of about $0.04 and $0.01 of dilution on the adjusted earnings line. Our expectations there remain $0.03 to $0.07 for the first full year. We’ve only owned it, as we’ve talked about on the call, since late May. So I think it’s very much still on track, and we remain very much committed to delivering on what we had said we would earlier in the quarter.
Edward Marshall: So that $3 million is about 30, 35 days worth of revenue?
Ken Krause: Yes. That’s about right. And it was late May when we closed that acquisition.
Edward Marshall: Yes. I wanted to talk maybe longer term, I mean, you’ve done a great job on the margin, and you’ve got a lot of initiatives that you pointed out over the last – to carry us through 2020. But as we look a little bit further, I’m curious where the most opportunity is for MSA? Be it gross margin enhancements or SG&A takeouts. My sense is SG&A is probably done at this point, but I’d be curious to hear what your input is about kind of the growth on the margin and how we continue this great incremental margins that you’re having?
Nish Vartanian: And there’s still lots of opportunity, Ed. I wouldn’t say that the cost take out is over. We’re very focused on our SG&A. We had nice improvement, in fact, in SG&A in Europe, which SG&A declined by about 4%. So we’re really managing those expenses. There is a lot of focus in that area. We leverage our systems and processes to look at the SG&A throughout the business. So I wouldn’t say that that’s over or behind us. Obviously, again $50 million out isn’t in the cards, but there’s some nice opportunity that we’re going to continue to look at going forward. We also believe that there is some margin expansion opportunity with some of the businesses that we’re in. Fixed gas and flame detection really looks like an attractive area for us. The investment in Sierra Monitor will really help us with some growth in that area and bring some technology into the organization. So we think that there’s some nice opportunity on the growth side of the business. We’re still a small player with fall protection. We’re a distant number three player in the fall protection area, and we think that there is some nice opportunity to grow that business, both organically and hopefully, inorganically, we can find some opportunity to help us grow that business. So there’s some nice opportunity going forward on both the top line and margin and SG&A across the business.
Ken Krause: The only thing I would add, Nish, is on the cost of sales side. We’ve been very consistent in talking about our opportunities on our cost of sales, where 70% of our cost of sales are raw materials and so our sourcing initiatives, and we’re making some significant investments in our sourcing organization to really go after and realize some of those improvements. So we’ve got, as Nish indicated, I think the new products and the things we’re doing to drive some pricing improvements on that side of things. The gross margin with the cost takeout and the pursuing sourcing opportunities. And then general improvements in our SG&A, like we’re seeing in Europe. I think all those things come together to continue to give us confidence in our ability to deliver additional margin expansion.
Edward Marshall: So with that context, I’m curious, you called it out in the press release about 40% plus incrementals. If I look out five years, do you think that rate continues at that 40% plus rate based on some of the initiatives and what you see existing in the core business?
Ken Krause: No, it’s always hard to say what the business will look like in four or five years. But what I can say is over the last three or four years, we’ve been consistently delivering those incremental margins at or above 25% or 30%. And so we think this business has the opportunity to continue to grow and improve the overall underlying margin position. And so yes, we think we’re positioned well, and we think we’ve got enough opportunities ahead of us to continue to grow earnings and improve our margin profile.
Edward Marshall: Thanks for the color guys, I appreciate it.
Operator: [Operator Instructions] The next question comes from Larry De Maria of William Blair. Please go ahead. Mr. De Maria, your line is open. Please go ahead with your question.
Larry De Maria: Unmuted, sorry about that. Good morning, everybody. A couple of questions, I can hard hats kind of flattened out and that do you see the leading indicator. Can you just discuss maybe what you’re seeing there and why that may or may not be an area of concern?
Nish Vartanian: Yes. Larry, we’re not overly concerned with what we’re seeing with hard hats. When you go back and that leading indicator and I’d go all the way back to the post-9/11 economic downturn in 2002, 2008 and then again the industrial downturn in 2015. What we saw in those downturns with head protection was a quick and sudden double-digit decline in business. And that’s not what we’re seeing today. What we’re seeing today is really more distributors, really tightening up inventory. We’re seeing some destocking, which we experienced that began sometime in May, all indicators were that it was in May. And then what’s interesting is as we get into July here, our incoming business is up double digits in head protection. So it’s been really uneven and choppy. If we don’t get significant growth in head protection this year, I wouldn’t be overly concerned because we’re coming off with back-to-back years of double-digit growth. And we know that some of the employers out there are having difficult time with employment, finding people to do the work, and weather really hasn’t played in our favor this year either. So while we’re disappointed that you always want to see growth, 5% to 7% growth with head protection, not having that this year or at this point this year, really doesn’t point to a downturn in our view because the rest of the business is really strong.
Larry De Maria: Okay. Thank you. Also in the first quarter I think the book-to-bill overall was 1.07% or a little bit lower if you adjust it for their business didn’t shift. So what would the book-to-bill be in the second quarter?
Ken Krause: Typical as seasonality is with us, the book-to-bill was around 95%, which is pretty typical for the second quarter for us. But if you look at it over the course of the year, it’s right around one or slightly above one. The backlog remains really good, really healthy for us, and that’s why we have confidence in that mid-single-digit growth going forward.
Larry De Maria: Got you. Now I think $10 million to $15 million in business didn’t shift in the first quarter, shift in the second quarter. Can you remind us what product that was? And so obviously, if it did shift and if that could – if it did shift, the top line growth would have been a little bit lower, if you ex that out, but still obviously positive by a few percent. So would the top line numbers in domestically or the Americas have hit your internal second quarter targets?
Ken Krause: Yes. We don’t normally talk about our internal plans, but what I can tell you, Larry, is that, overall, our internal – our performance is tracking fairly well versus our plans and our internal plans. And there’s a big reason why we are committed to that mid-single-digit guidance this year in terms of revenue growth. That business certainly shift through the second quarter. It was predominantly in some of our gas detection products that’s what comes out of our facility here in Pittsburgh, and that’s where we saw some of those delays in the first quarter. So we did purge that out. But we do, as Nish has indicated, continue to carry a backlog that is at a really healthy level for us. So we still feel pretty confident about where we sit.
Larry De Maria: Very good. And last question for me, you talked about – maybe I missed this, I apologize if you discussed it, but Middle East obviously had been weak. But you have some good backlog for the second half. Are we still confident in that hitting?
Nish Vartanian: Yes. Larry. Right. The Middle East is in the second quarter, they had a real tough comparison with self-contained breathing apparatus. But what’s really encouraging about the Middle East is the fixed gas and flame detection business was up about 20% for the quarter. So if they had a good pipeline of business, there’s still a decent backlog there. And it’s nice to see that business bounce back, which, quite honestly, we anticipated with normal cycle of business there, real strong 2017 part of 2018 and then things tailed off the natural cycle of that business, and we’re starting to see that come back. So it’s nice to see some improvement there. And the margins are improving in that area too, which is also refreshing.
Ken Krause: Larry, I was just going to add on to that comment was that, if we look at some of our higher-growth markets and some of the markets where we see some of the bigger opportunities, Asia and the Middle East, and parts of Latin America, just looking at our business in many of those areas, we’ve seen some really nice margin performance here in the quarter. The Middle East continued to bounce back for us after a pretty weak spot. So we saw that come through, that was good. China’s business seems to be very much intact for us, growing at almost 13% in the first half, and with a good pipeline for the second half. And then Latin America, the team down there is doing a nice job as well. So we think we’re well positioned in many of those growth markets, not only from a growth perspective, but from a margin perspective. So it’s – we feel pretty good about that.
Larry De Maria: Okay. So that pipeline and backlog that was expected to hit in the second half, you’re already – in other words, you’re already starting to see some of it hit and the conditions are getting better. The projects are happening. So if not just the timing per se of the backlog hitting, but the overall end-market in the Middle East is getting better?
Nish Vartanian: Yes, I think that’s a good way to define it. We’re starting to see some of the projects come through, once again, the process, the cycle of projects are coming through for us.
Larry De Maria: Got you. Thanks, good luck guys.
Operator: Seeing that we have no additional questions. I would like to turn the conference back over to Elyse Lorenzato for any closing remarks.
Elyse Lorenzato: On behalf of our entire team here, we want to thank you again for joining us this morning. If you missed a portion of the conference call, an audio replay and a transcript will be available on our Investor Relations website for the next 90 days. We look forward to talking with you again soon. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.